Operator: Greetings. And welcome to Bionano Genomics Incorporated Third Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ashley Robinson with Investor Relations. Thank you. You may proceed.
Ashley Robinson: Thank you, Otanya, and good afternoon, everyone. Welcome to the Bionano Genomics third quarter financial results conference call. Leading the call today is Dr. Erik Holmlin, CEO; and he is joined by Chris Stewart, CFO of Bionano. After market closed today, Bionano issued a press release announcing its financial results for the third quarter 2020. A copy of the release can be found on the Investor Relations page of the Company’s website. Before we begin, I would like to remind everyone that certain statements made during this conference call may be forward-looking, including statements about the Company’s strategic and commercialization plans, adoption of the Saphyr system, the advantages of the Saphyr system over current technologies, and the Company’s expectations regarding timing and content of study results and anticipated benefits of these studies in driving adoption of Saphyr. Such forward-looking statements are based upon current expectations and the results contemplated in these statements may not be realized. Actual results may differ materially from such statements due to a number of factors and risks, some of which are identified in the Company’s press release and its other reports filed with the SEC. These forward-looking statements are based on information available to Bionano today. And the Company assumes no obligation to update statements as circumstances change. An audio recording and webcast replay for today’s call will also be available online in the Investors section of the Company’s website. And for the benefit of those who may be listening in to the replay or archived webcast, this call is held and recorded on November 12, 2020. With that, I’ll turn the call over to Erik Holmlin. Erik?
Dr. Erik Holmlin: Thank you, Ashley, and good afternoon, everybody. Let me begin by saying that we are really pleased with how the third quarter came together. Most of our commercial indicators grew over the prior quarter as we saw significant momentum returning to the business as more and more geographies opened up with easing of COVID-based restrictions. We saw significant progress in key areas of market development, including presentation and publication of evidence in support of Saphyr as a potential replacement for traditional cytogenetics methods. We transformed our leadership team with the addition of two key executives Dr. Alka Chaubey, who is our first Chief Medical Officer. Alka joined us from PerkinElmer, where she was the head of cytogenetics for PerkinElmer Genomics and Vanadis. And Chris Stewart, our Chief Financial Officer, who previously worked at Tesla, and has had a successful career in the tech and semiconductor industries. Finally, we acquired the CLIA diagnostic services business Lineagen in a stock-based transaction. The acquisition has the potential to expand our commercial services offering to customers who need CLIA-based data services. It has the potential to grow total revenues through sales of Lineagen’s proprietary testing services for pediatric neurodevelopmental disorders, and it has the potential to provide critical strategic ingredients to outline the path for other CLIA labs to obtain payment for services on Saphyr from third-party payers, including insurance companies and governments. Now, our focus since the very start of the year has been to pursue a go-to-market model that makes it easier than ever to get Bionano data through a combination of commercial services, reagent rentals and a reduced price for acquiring a Saphyr instrument. Our goal has been to increase significantly the amount of Bionano data and the number of Saphyrs in the field. And based on the results from this third quarter, we can tell that this approach is working. Probably the biggest milestone that I want to share with you on this call is the publication this week actually of a landmark study in acute myeloid leukemia or AML, by some of the most prestigious clinical and cancer institutes in the country, including Augusta University, Columbia University, Mayo Clinic, MD Anderson and Penn State, who evaluated Saphyr against the standard-of-care, testing in 100 AML patients. Many of you will recall that we refer to this work as the Columbia study. And I’m happy to report that it’s done and out, and it’s really amazing. The significance of this paper is that the authors recommended that Bionano optical mapping replaced karyotyping as first line clinical test in the evaluation of AML and other leukemia patients. And this is something that we really think is going to help us as we grow the installed base of Saphyr for clinical testing around the world. I also want to highlight another high-profile paper that was published recently, and this one is from the labs of Dr. Pui Kwok at UC San Francisco. He worked together with scientists at UC Berkeley, and clinicians at the Oakland Children’s Hospital. This was actually funded through a California Precision Medicine Initiative grant. And the results came out really nice for Bionano. It was the largest ever published using Bionano optical genome mapping to evaluate genetic disease patients, who were previously undiagnosed with standard-of-care methods. Using the Bionano mapping, the authors were able to diagnose 6 patients out of 50 and flag another 10 patients with candidate pathogenic variants. Upon further analysis, 3 of those 10 flagged in the flag group could also be diagnosed, making the total number of incremental diagnoses 9 patients or 18% of the undiagnosed population. That is a really significant number of patients to be diagnosed. And we believe that demonstrating this increase in diagnostic yield, relative to the standard-of-care, is going to be a key step in driving Saphyr adoption in the future. Overall, the number of publications this year has grown significantly compared to last year. We estimate that there have been 98 papers published on the use of Bionano technology year-to-date, compared with just 80 for all of 2019. And something that’s really significant about those publications is that the number of human structural variation focused papers are up 70% year-to-date, compared to 2019. And Bionano data have been presented at major national and international conferences across the globe this year, virtually, of course. And what we see in all that is that the awareness of Bionano and Saphyr is increasing. We have always felt that it’s really important for us to take steps to increase the amount of Bionano data in the field and it really feels like our efforts are paying off. Now, let me turn to some of the other key metrics for the business, all of which we believe significant -- reflect significant momentum in the business that we’re seeing in other areas. First of all, we shipped 11 Saphyrs to customers this quarter, 3 of which were sold and 8 of those were under reagent rental contracts. That 11 systems is equal to the total number of systems shipped in the first two quarters of 2020 combined, reflecting, we believe, a nice recovery in the third quarter, and we expect that momentum to continue over the rest of the year. Now, these shipments combined with the installations completed in the quarter, brings the total number Saphyrs installed to date to 96, and the number of Saphyrs that are currently awaiting installation to 21. Next, we had a record quarter for the number of nanochannel array flow cells that were shipped with 1,785 flow cells sold. Now, recall that a flow cell is the unit of measure that represents the human sample equivalent of chip capacity. Some of our chips have two flow cells, and some of them have three. So, we measure the progress and consumable sales in units of these flow cells. The 1,785 flow cells sold represents 25% growth over the second quarter in 2020, and 34% growth over what we did in the third quarter of the prior year, 2019. More flow cells purchase corresponds with more samples being analyzed, and more Bionano data that customers and potential customers will hear about. The progress here is really significant. And this third quarter has been another strong quarter for adoption of flow cells. Finally, our commercial Bionano Data Services has continued to perform well also. Keep in mind that we launched the commercial services as a solution for researchers who wanted to work with Bionano data, even if they couldn’t purchase or rent a Saphyr instrument. And we believe this strategy is essential for market development. And the number of projects and samples run by our services lab continues to perform well. So far in 2020, through the end of the third quarter, we had run 63 projects, and a total of 577 samples. We compare that to the full-year in 2019, when we ran just 38 projects, and 212 samples. So, we see substantial growth in the number of samples that were being processed in our lab, which again, means more and more data available in the market to drive awareness of Bionano and its utility. And we believe this effort will result in more publications and more presentations and in turn, contribute to more Saphyr adoption. I also want to talk about what we see as the critical milestones to achieving widespread adoption by clinical labs that are seeking to develop laboratory developed tests on Saphyr and offer those tests for clinical use. To succeed along this path, we need to address three main prerequisites, the first of which is publishing multiple studies that show concordance with the existing standard of care, as well as incremental improvement in diagnostic yield. The second is, we need development and utilization of these laboratory developed tests. And, third, and this is especially important for labs in the United States. We need to have a clear path for clinics to build third-party payers for the Saphyr-based test and get reimbursed. Now, we’ve been making incredible progress in all of these areas, and I want to tell you about it. On the concordance data, we’ve been able to show 100% concordance with existing standard of care in several publications now, including publications from MD Anderson, Radboud University in the Netherlands; this consortium of cider geneticists led by Columbia University, including Mayo, University of Washington, Penn State, MD Anderson, Augusta University, and others. And as we’ve already discussed, we now see publications that are describing the improvements in diagnostic yield that come with adoption of Saphyr. We expect these efforts to continue, but we also feel like we’re beginning to build that critical mass. And we’re so pleased that the Columbia paper has come out, because it represents some of the best data that we have so far in the United States. Now, development of laboratory developed tests or LDTs is another key prerequisite for clinical adoption. And we announced this quarter, the German accreditation of Saphyr for detection of various types of structural variations that cause constitutional genetic disorder. Similarly, accreditation processes are underway for genetic diseases and leukemia in the United Kingdom, as part of the National Health System there. Similar work is underway in Belgium and the Netherlands. Augusta University in the U.S. is developing an LDT for cancer, based on their results in heme malignancies and solid tumor. These have been presented for us at the cancer genomics consortium meeting last August. We have other partners that are CLIA certified and CAP accredited labs that will develop LDTs practices as a commercial service provider that we’ve talked about. And here at Bionano, we intend to develop laboratory developed tests as well. And so, we’re making good progress on obtaining a critical mass of clinical assays developed on Saphyr that are commercially available in jurisdictions around the world. And lastly, regarding the third-party reimbursement, this challenge is most acute in the U.S. And we acquired Lineagen in an effort to overcome this barrier. With their CLIA license and vast clinical expertise together with the leadership of our Chief Medical officer Alka Chaubey, we are now positioned to develop laboratory developed tests in-house that can improve upon the standard of care. We love working with our partners, and they’re very supportive. But, when we have the opportunity to control the process, we can be a lot more certain about timelines. And so, we intend to leverage Lineagen’s expertise and their existing portfolio of third-party payer contracts and certified coders to work out this path for reimbursement of LDTs, based on Saphyr. We intend to use a combination of billing existing CPT codes, where appropriate, obtaining PLA codes for the service, and obtaining coverage from MolDX for Z codes. As these paths get established and reimbursement is obtained, we intend for Lineagen to share these strategies with other labs, which will enable them to follow this path. Our goal with Lineagen is to support the commercialization of Saphyr by overcoming key barriers, such as reimbursement and making those solutions available to the market. I want to be clear that our intent with Lineagen is not to compete with other service providers, but to make them successful in adopting Saphyr. Finally, I want to say a few things about Saphyr and the significant advancements in our technology. Among them include the biggest upgrade ever to our software capabilities, which is making Saphyr more and more capable, and importantly, easier, faster and cheaper to use. Our newest DNA isolation kit allows for faster and much simpler isolation of ultra-high molecular weight genomic DNA from remarkably small amounts of tumor samples, which removes one of the key hurdles in the study of solid tumors. And this new kit has been received enthusiastic, and our sales to customers have really beat our expectations. Applications on Saphyr run in the market are expanding. We now see our users conducting comprehensive structural variation analysis throughout oncology, detecting rare variants that may be responsible for genetic and inherited diseases, or looking at off-target effects that may be occurring during CRISPR based gene editing, all while telling us that our system is easier to use than other genome analysis systems in their labs. This is the kind of feedback that we’ve been working hard to achieve. And so, when we get it, we’re pleased to hear it, and we’re so very pleased to tell you about it. In comparison to other systems for genome analysis, we believe that none is capable of the comprehensive structural variation detection the Saphyr offers. Not to mention, at the throughputs and costs that are achievable with Saphyr, especially against long read sequencing platforms, like PacBio and Oxford Nanopore, which don’t have the performance, speed or cost metrics that are necessary to compete with Saphyr. And so, I was very excited to give you this update on our business. And with that, I will now turn over the call to Chris Stewart, our new CFO, for an overview of the financials. Chris?
Chris Stewart : Great. Thanks, Erik. First off, I want to say that I’m very excited to be here. And I really appreciate a warm welcome that I received from the Bionano team. I’m convinced that this is the perfect time to be joining Bionano. As you can see by the announcements from just this quarter, we’ve made substantial advances to make Saphyr more usable, and we are building toward critical mass on the depth and breadth of published data on efficacy, including concordance with multiple existing cytogenetics standards of care, while we’re also starting to see evidence being published that Saphyr can increase diagnostic yields. I plan to leverage my experience in managing companies through periods of change to channel the momentum we are seeing into business success. We will continue to build out the infrastructure and business processes to support the profitable growth that we expect. The reagent rental program and the services product have been very well received in the market and are having the intended effect as we are getting Saphyr systems and data into the hands of influential people. We believe that this will translate into the growth of our consumables business, which is expected to be the long-term profit driver for the Company. Now, let me turn to a breakdown of the commercial results for the quarter. Revenue in Q3 was $2.2 million, up 86% sequentially from Q1 -- from $1.2 million in Q2. Revenue was comprised of about $725,000 or 33% in instrument sales, $855,000 or 39% in consumables, including those related to our reagent rental program, and $616,000 or 28% in services and other revenue. Q3 services revenue includes approximately $445,000 of revenue from Lineagen for the period from August 21st through the end of the quarter. Going forward, we will include Lineagen with our services revenue. Organically, by Bionano revenue was up 48% quarter-on-quarter. This increase was driven by the start of a recovery from the COVID shutdown that we experienced in Q2. Europe was particularly strong, returning to levels we were seeing at the end of 2019. While many customers are still not back in their labs, and there’s certainly a risk of a COVID resurgence that can continue to impact our business, it was encouraging to see the enthusiasm with our customers as they started to get back to working with Saphyr systems in there. Cost of sales in Q3 were $1.5 million, resulting in a gross margin of 34%. Gross margin was down from 49% Q2, due mainly to the higher mixture of instrument sales versus consumables and services that we saw in Q3 -- in Q2. Second quarter operating expense was $11 million, an increase of about $3 million over last quarter. The increase was primarily due to $1.5 million of transactional related costs for the Lineagen acquisition, as well as additional operating expenses related to Lineagen acquisition. We also returned salaries to their pre-COVID levels, after the reduction in salaries that management took in Q2. Finally, as of September 30th, our cash balance was $18.9 million. This includes about $15 million received in the quarter pursuant to warrant exercises. Therefore, we believe we have adequate cash that carries into the first quarter of next year. As we’ve talked about before, we have an S-3 in place, and believe we have sufficient options available to raise cash in the future. Looking forward into 2021, we are focused on growing revenue with the continued underlying goals of building on the published data, and exposing more researchers and clinicians to the advantages of Saphyr, and creating a path to reimbursement for Saphyr testing in the clinic. We will build on both, our sales and marketing, and R&D teams prudently through the year. With that, I’ll turn it back over to Erik.
Dr. Erik Holmlin: Great. Thanks, Chris. And let me say welcome aboard and let me say the same to Alka. It’s really great to have our team at critical mass. And with that, I will turn it back over to the operator to open up the call for Q&A. Operator?
Operator: Thank you. At this time we will conduct a question-and answer-session. [Operator Instructions] Our first question comes from Kevin DeGeeter with Oppenheimer. Please proceed. 
Kevin DeGeeter: Hey. Good afternoon, guys. I want to add my congratulations to the new members of the team, and what looks like a really solid quarter here. I guess, a couple of questions, if I may. Starting off with the publication this week, your data was very impressive. And I guess my question here is, do you think you need large datasets in other hematologic subsets to really kind of change practice, particularly here in the U.S. or do you think it’s sufficiently broad study to be -- practice changing sort of across cytogenetics, at least in terms of hematologic community?
Dr. Erik Holmlin: Look, more data are better. And nobody is ever satisfied with the amount of data that’s available, you know that. But, what I will say is that across the leukemias, this is a seminal data set. We expect it to be submitted for a peer review public -- peer review and publication later on this year. And our studies will continue. What I would say overall in hematologic malignancies is that we would like to expand our datasets in multiple myeloma specifically, and lymphomas to really round out the heme malignancy space. And we will continue to add more and more studies in leukemia. But, this is really a seminal data set for us that goes a long way.
Kevin DeGeeter: And then, my next question, which may be somewhat related. You did touch on engagement with MolDX as an important component of the payer and third-party reimbursement discussion. Can you just comment, sort of where that stands currently? Have you had any interaction with the folks there? And how should we think about potential timelines and critical milestones sort of along that process?
Dr. Erik Holmlin: Sure. So, the Company has been engaged with folks at MolDX and Palmetto, and those engagements and interactions that have influenced our thinking and helped us form different strategies. What we are now engaging in with them is a very specific conversation, based on the datasets that we now have available, and this paper from the Columbia consortium is something that really helps us have those conversations, because in a very objective way, we can lay out how Saphyr transforms the current standard of care. And so, it’s really about taking those general conversations and making them more and more specific, and so, we can get into what coverage would be like. And when it comes to a timeline, I think that we’re pursuing three strategies in parallel, leveraging existing codes. And so, we can do that essentially right away, engaging with MolDX, as you picked up on, as well as the PLC code process. And these will unfold certainly for the remainder of this year and into next year and will be driven by the sort of standardized timelines that are out there for this process. I do think it’s going to take into next year before we see a lot of measurable outcomes from this work, but we’re very much engaged and moving along at a rapid pace.
Kevin DeGeeter: Okay. And then, just maybe one more follow-up and a housekeeping if I may. Can you remind us under existing codes, when a lab submits, sort of what that reimbursement rate or range can be? And the housekeeping here, if I think about the 1,785 flow cells in the quarter. Should we think about those as principally all through the research market or are there some early cytogenetic and clinical volumes that kind of feed into that number?
Dr. Erik Holmlin: Yes. With regard to what is the average reimbursement around existing codes, this is always dependent upon what a lab has in their contract with the payer. But, these range in the $1,000 to $2,000 range, depending upon indication and can even go higher. It just depends upon the specific application. But, they are in that range solidly, between $1,000 and $2,000. With regard to where these flow cells are going, of course, we have an installed base, which is primarily research, I would say 80%. But, when we look at the adoption that we’re seeing, that’s actually the other way around. It’s probably 80% clinical. And a lot of these flow cells are going there to support the reagent rental contracts that they’ve entered into. So, very crude back of the envelope math would probably put that at 50-50, which is incredible.
Kevin DeGeeter: Yes. That’s great. Thanks so much, Erik. I appreciate taking the questions.
Operator: Our next question comes from Jeffrey Cohen with Ladenburg Thalmann. Please proceed.
Jeffrey Cohen: Hi, Erik, Chris and Alka. How are you?
Dr. Erik Holmlin: Good. Thanks. How are you?
Jeffrey Cohen: Just fine. I wanted to start with some of the -- so you placed the revenue and it’s -- so there’s 96 in the fleet. Could you talk about the backlog a little bit, you mentioned 21 units. Do you expect those to be in place, and up and running by the end of the year or is that a spillover into Q1 as well?
Dr. Erik Holmlin: Yes. If I had to make an estimate, over the course of the third quarter, we installed 9. So, I think, we went from 87 to 96. So, we were able to install 9. So, if our access to labs stays where it is, probably improves a little bit, I think, we can cover probably about half of these, at least, and maybe a little bit more. But part of the problem is just getting access to labs. And as everybody should know, the situation is not stable in Europe, for example. So, restrictions are being reintroduced. And, our best guess is that those restrictions will not completely prohibit us from installation, but it could delay. So, I’m going to say -- let’s said that in the fourth quarter, we can do roughly half of those.
Jeffrey Cohen: Okay, got it. Chris, could you speak to the SG&A line. I know that there’s 1.5 in transaction relation from Lineagen and 1.3 in bad debt, in combination with the 33 [indiscernible] used for Lineagen. So, for forecasting, what would that look like going forward? What’s the baseline on the SG&A line going forward? Should that be referred back to something on the order of Q2, or would we expect this to be the new baseline going forward?
Chris Stewart: No. Certainly, accounting for the one-time expenses, we expect to be back in the range where we work towards the end of 2019 and early 2020, as far as organic Bionano, and then the Lineagen business has another 15% of that. So, that’s probably the way to think about it.
Jeffrey Cohen: Okay, got it. And then, lastly, Erik, could you talk about -- looks like pretty nice utilization. Could you talk about the throughput and efficiencies, as far as the time to process, and could you see more efficiency or faster throughputs going forward with the current equipment or other development that’s going on?
Dr. Erik Holmlin: So, in constitutional genetic disorders and in cytogenetics overall, 100 samples a week is like a sweet spot. And we’ve been driving towards that. And we are there in the constitutional genetic disorders. Now, in some of the cancer applications, because these specimens are highly heterogeneous and the pathogenic variants may be present at very low abundance, you got to collect a little bit more data on them. And so, what we are doing is accelerating the methods, through a variety of tweaks. These are just turning knobs here and there to speed that up and get that up to the 100 sample a week level. Of course, genetic diseases will speed up as well. But, where we’re at now is really a good place, even for both indications. And so, the improvements in speed that we get will be gravy. There are other areas of optimization that we are working on. And that will make it easier to process multiple samples, let’s say, at one time. And so, ultimately, we’re going to be able to bring cost per sample down through that process that some of the longer term R&D initiatives that are underway. And then, we want to simplify data analysis by adding features and capabilities to the software. And that has the effect that it speeds the process up, because the people who are interpreting the data will have to do less work. And so, those are really three programs that are ongoing, and will continue to progress. As we get more and more adoption of Saphyr, higher and higher volumes, labs use it, they’re going to want things to go faster and faster. And so, we’re constantly pressing in that direction.
Jeffrey Cohen: Okay. So, no current gaining limitations but on possibly others that you’re addressing on the commercial side, going forward?
Dr. Erik Holmlin: Yes. That’s correct.
Operator: Our next question comes from Scott Henry with ROTH Capital.
Scott Henry: A couple of questions. First, the leukemia market, how should we think about that in terms of the target market for placements in that category, as well as procedures?
Dr. Erik Holmlin: Yes. I mean, there are about 200,000 people diagnosed with leukemia every year in the U.S. And those are just the patients that are diagnosed. So, many, many more are tested, and then you’ve got the lymphomas to go along with that. And so, this is a substantial patient population overall. We would estimate it to be in the neighborhood of 1 million patients reliably. And that testing in the U.S. is spread out across, so between 550 and 750 labs. And so, that would be the placement opportunity and the volume opportunity. I do think that a lot of these labs are going to end up adopting multiple Saphyrs. So, let’s say that minimum is 550 to 750, and then the total number of Saphyrs is going to be driven by the testing volume itself.
Scott Henry: Okay. Thank you. And…
Dr. Erik Holmlin: And those are U.S. numbers. And -- by the way, in Europe and in Canada, where they have a rational single payer health system, they’re ahead of us in adoption. And so, the combination of Europe and Canada together, probably represent the same kind of economic opportunity that we see here in the U.S.
Scott Henry: Okay, great. And the flow cells number, is that a figure you’re going to give us going forward?
Dr. Erik Holmlin: Yes. That’s our intention. Yes. I think, we’ve -- we certainly reported it last quarter, and I think we did the quarter before that. But, that’s really the best way. If we talk about chips, some chips have two flow cells, some chips have three. So, then, you need to know which chips. But, if we just tell you how many flows cells went out, then you have a sense of the amount of consumable capacity that’s being purchased by the market. And as long as they keep purchasing it, it’s because we’re growing the installed base and the existing installed base is using what they purchased.
Scott Henry: Okay. And I think, I took down 34% year-over-year. What was the sequential change, or if you could just give me the 2Q flow cell number?
Dr. Erik Holmlin: It’s 24%, I think, versus the second quarter -- 25% over Q2 2020, and 34% over third quarter 2019.
Scott Henry: Okay. Thank you. And then…
Dr. Erik Holmlin: That was the highest number ever, that was the -- that is the world record to date.
Scott Henry: Okay, great. And then, I didn’t see the 10-Q yet, but could you give me the shares outstanding? I didn’t see that in the release, but.
Chris Stewart: Let me just get it for you, and then I’ll come back to you on it.
Scott Henry: Okay. Fair enough. I think, this was a partial Lineagen revenue quarter. Now that you’ve kind of own that business for a little while, how do we think about the steady state revenue run rate of that business now? I think, the number was solid in the third quarter, but I’m not sure how much of it entailed.
Chris Stewart: I’m sorry, I was looking for the share count number.
Dr. Erik Holmlin: So, it was roughly $450,000 of revenue attributable to that services business in the third quarter. And the time period was August 21st through the end of the quarter, so roughly half of the quarter. And I think that that’s been their steady run rate this year, but their business is muted as a result of COVID because doctors’ offices are not operating at full capacity, which is needed to see patients and refer them for testing. So, there’s upside to that. But, please keep in mind that those revenues help and that cash comes in the door and that’s really important. We also value heavily the strategic capabilities like the clinical team that Alka inherited the day she joined. And so, there’s a tremendous strategic benefit. But, there is upside. If you say that they’re running at roughly $752 million per quarter, that’s probably what they’ve been doing this year, and we would expect that to tick up next year.
Scott Henry: Okay. And just to follow up on your response. So, how we see the selling environment? When we think about Q4, it’s typically seasonally the strongest quarter. But COVID, I mean, how is -- should we think about that as a 25% haircut to the market right now, or how do you think about that environment out there for fourth quarter?
Dr. Erik Holmlin: Yes. I mean, what we have seen is I think nice return here in the third quarter versus our first and second quarter. We do expect our fourth quarter to be better than our third quarter, reflecting this seasonality and so forth. However, without a doubt, there are limiters on the ability to get in and see customers. Customers are not operating their labs at the same levels of capacity. If you look at published information that’s out there, you’ll see that labs are running anywhere from a research lab -- say a cancer research lab, is going to be running anywhere from 25% to 75% capacity. So, what I would say, I’m not really going to try to quantify it for you. But, we are thinking that we’ll do better in the fourth quarter than we did in the third quarter, reflecting an ongoing improvement in the momentum. And the other thing that I would say is that, of all of our markets, the U.S. is toughest, not because the COVID situation is necessarily tougher here or not, but because of just where we’re at in terms of customer readiness to adopt. So, the researchers, they’re on board and they’re using the system, but they’re not working as much. The clinical folks are on board, but they need more, as we’ve been talking about. Whereas in Europe, the clinical folks are up and running more significantly. So, I think Europe is going to contribute significantly to the business in fourth quarter. We do see recovery in the U.S. So, I just want to say that we’ll do better in the fourth quarter than we did in the third, reflecting continued improvement.
Scott Henry: Okay. Fair enough. And the final question is kind of a tough one, but I think, it’s a fair question. The scientific momentum, in my opinion, just seems like it’s never been better. You’re getting traction, you’re making a lot of progress. But, the burn rate kind of holds you back a little bit, because it’s still significant relative to the Company size. Do you think -- from Q3, do you think this is going to be a high watermark for the burn, meaning it should start to decline? And obviously, you got a little bit of a headwind and not having that $1.5 million transaction costs after Q3. But do you think we should start to see that decline now? Are we at that inflection point?
Chris Stewart: Yes. I mean, I’d like to say definitively, yes, but it’s tough, right? Because what we need to do is continue down the path of building on the data that’s out there. So, we need to continue to get Saphyr systems into the hands of the people that can publish data. We do look the way we’re operating the rental program, we can do that and grow revenue at the same time. But, we’re still making investments. We still have to grow the sales and marketing team, especially on the clinical side, and we have some investments to make to expand even further on the capabilities to Saphyr, make it easier to use and things like that. So, I hope we’re not increasing the burn over time. But, I wouldn’t call it an absolute high watermark for the near-term future.
Scott Henry: Okay, thanks. Thank you for the feedback.
Chris Stewart: And the share count, the weighted average share count at the end of Q3 was about 133 million shares. And we’ve had a little bit of option exercise -- excuse me, warrant exercise. So, the share count is up a little bit from that as of today.
Operator: Thank you, ladies and gentlemen. We have reached the end of the Q&A session. So, at this time, I would like to turn the call back over to management for closing comments.
Dr. Erik Holmlin: Thank you, operator. And thank you to everyone for joining. And we look forward to speaking with you after the fourth quarter, and appreciate you joining. Thank you very much.
Operator: Thank you. This does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation. Have a great day.